Hisato Kozawa: Hello, my name is Kozawa. So from my side, I would like to explain about the financial results of fiscal year 2021 and the forecast for fiscal 2022. So the material has already been released. I will just focus on the highlights and supplemental information.  
 On Slide #2, we have the table of contents about the materials. Please go to Slide #4 and 5. First of all, this is the overview of the financial results. If we go to Slide #4, these are the major key financial indicators and the results. To give you some supplemental information, in terms of the figures that we have announced based on this line that we have in the bar chart, in every items, we have been able to exceed our expectations, specifically for free cash flow.  
 At the end of the fiscal year, we had a cash and have accumulated. And against our announcement that was JPY 100 billion, we have been able to exceed that. So we have been able to achieve JPY 301.8 billion, which was record high since we have started announcing cash flow. And in terms of the net profit, it has gone -- exceeded our expectations. So in terms of the dividend, it will be JPY 100 per share. So this is a JPY 10 increase against the JPY 90 announcement and against last year, it is a JPY 25 increase of dividend.  
 Going to Slide 6 to 8. These will be some topics I would like to explain for this fiscal year's results announcement. Slide #6, among the thermal power plant, I would like to talk about the Gas Turbine Combined Cycle business. The market in itself is shown on the lower left-hand side, it's been a stable size. And within that market, although it differs year-by-year, we have been able to get an order intake of around JPY 600 billion. 
 In terms of the new orders, when there was announcement on the third quarter results, I have explained is that with the installment of the orders for the large gas turbines, it was -- outlook was 15, but actually, it ended at 16 units. In terms of revenue, new installment and aftersales services, that's the bar chart on the right-hand side, it is growing. In terms of the new installments, so the JAC model, which has the most advanced model, the shipment of this model is progressing very steadily. 
 Slide #7 is the status of the nuclear power business. 2 years ago in FY 2020 -- until FY 2020, as you can see here, the domestic light water plant has been growing, mainly due to the restarting of the PWR plant and the construction of specialized security facilities. And these were the main drivers of the growth of the revenue. 
 For FY 2021, these businesses, these light water-related projects, have peaked and then started to decline. But however, there are increase of nuclear fuel reprocessing construction, mainly from the Rokkasho plant. And the overall revenue has grown from 2020 year onwards. Specifically for mid- to long term, we expect that the equipment supply to overseas is going to grow. We think that this business will be stable at this level for the time being.  
 Going to Slide 8. This is Logistics, Thermal & Drive Systems revenue situation. In terms of the way we're showing you the graph, for each of the products, the revenue of fiscal 2019 will be JPY 100 billion. And we saw the sales trend of each year. So compared to fiscal 2019, the fiscal 2021 revenue difference is shown. In this segment for fiscal 2020, due to COVID-19, the revenue has gone down substantially. 
 For fiscal 2021, basically the revenue has grown. Most of the products and businesses, they had gone over 2 years ago -- 2 year ago level. But for turbocharger, because the prolonged production adjustment of the automobile makers has been impacted this and for the turbochargers, from 2019 -- FY 2019 until end of 2020, the revenue has substantially declined.  
 Going to Slide 9 and onwards, I would like to explain more in detail about the financial results. Slide 10 is basically a recap, so I will not go into this. Going to Slide 11 and 12, this is the balance sheet situation. In terms of the total assets, towards improving the fund efficiency, we are trying to reduce that. But unfortunately, from the last end of that fiscal year, it has increased by JPY 305.6 billion to JPY 5,116.3 billion. The reason behind this is that at the year-end, the cash on hand has increased. That's number one.  
 And due to the ForEx situation, because the yen has weakened, the value of the foreign currency assets converted into yen has increased. And on top of that, in terms of inventory, so because there has been -- to prepare for the resumption of the supply chain, there has been some increase of inventory. So this has been the reason why we saw an increase of total assets.  
 If we look at the chart on the lower right-hand side, in terms of the interest-bearing debt, this is shown on the gross level. So that has gone up by JPY 170 billion. But as I said, in terms of the cash on hand compared to the previous year-end, it has gone up. So if we reduce the cash on hand and look at the net interest-bearing debt level, FY 2020 was JPY 660.2 billion, fiscal 2021 was JPY 420.6 billion. So actually, it has gone down by JPY 240 billion.  
 Going to Slide 13. This is about cash flow. Operating cash flow due to the increase of profit and the -- we have been able to increase our advances received. Because of the increase of orders, it has increased. And because of the sales of assets, the investment cash flow has been positive. The strategic shareholding has been sold at JPY 100 billion level. And free cash flow is at a record high, JPY 301.8 billion.  
 Slide 14 to 17 describe order situation, revenue, business profit by segment. Please refer to these pages later. Slide 18 shows a waterfall chart. These are causes of the year-on-year variance of business profit. As you can see, I think you understand this. The inflation of the minus JPY 40 billion of the material cost and also transport costs. 
 At the time of Q3 presentation, we were predicting about JPY 32 billion. However, because of the prolonged production adjustment of auto manufacturers and also logistics cost inflation, it became about minus JPY 40 billion. And Logistics, Thermal & Drive Systems and also Aero Engine businesses, except for turbochargers, we had a recovery of revenue from COVID-19. So the profit contribution of JPY 50 billion is booked, so we can compensate for the loss from the transport and also material cost increase. And for Aero Structures, because of the customer delivery decline for Boeing 787, there is a profit decline. Please refer to the others on the slide.  
 Slide 19, we have given you the same information before. This is just a continuous disclosure. Please refer to the contents later. Slide 20 and onwards, there is the FY 2022 forecast. Slide 22, please. Here are our numbers here. Year-on-year for FY '22, we have both the revenue and profit increase. Order intake and free cash flow, FY '21 had a very favorable situation. 
 So from FY '22 and onwards, where there is a rebound because FY '21 was a very good situation, so compared to FY '21, for FY '22, order intake and cash flow might decline or almost the same. But including as such, we'd like to take some countermeasures for free cash flow. So we'd like to make it positive after COVID-19 situation. Payout ratio of 30% and over for dividends, so we'd like to plan for JPY 120 per share.  
 Slide 21, this is a comparison with the mid-term plan. Toward the final year of the medium-term plan, we would like to make more efforts to achieve the plan. Slide 23 is the breakdown. Please refer to this later. Slide 24, this is the final result of FY '21 and the forecast for FY '22. And you can see the variance of the business profit. 
 The points are here. One -- number six, we are increasing the investments into growth areas. In the previous fiscal year, we had an increase as well. But we are going to increase more for development and investment. And number five, this is about Russian projects. Because of the Ukraine situation, I think you are interested in what's happening in Ukraine as well. And the FY '21 result included Russia and Ukraine projects, about JPY 3 billion of the profit contribution, but it's going to diminish.  
 So as for those details, Slide 25 shows the details. We didn't have this information before. But Slide 25 describes more breakdowns and details. So please refer to this slide later.  
 With this, I would like to complete my explanation. Thank you very much. Next, Izumisawa, the President and CEO, is going to explain the mid-term plan. 
Seiji Izumisawa: So this is Izumisawa speaking. On my side, I would like to explain about the 2021 mid-term business plan and the progress of that. Please turn to Page 2. So this would be the contents of today's presentation. Going to Page 3 onwards, I would like to talk about the outline of the 2021 MTBP. 
 And please go to Page 4. So this is the target of the 2021 MTBP. So the -- and in this plan, we are trying to strengthen our profitability and develop the growth areas. And we have four indicators. And we are moving forward to achieving these targets. 
 Please go to Page 5. This is the results of the fiscal year 2021. As Kozawa has already explained, for fiscal 2021, due to the impact of COVID, and on top of that, due to the lack of semiconductors and the spike of cost for materials, this has impacted our business. But in each of the items, we have been able to achieve our targets. 
 In summary, for the Logistics, Thermal & Drive Systems and the Aero Engines, so basically we have been able to achieve a recovery as planned. But however, for the Tier 1 Aero Structures for commercial airplanes that it has -- the recovery is being delayed. We will continue our initiatives and try to recover. In terms of the business impact of the Ukraine situation, currently it's limited. But we would like to carefully look at the situation going forward and respond to any influences. 
 From Page 6 onwards, we would like to talk about the strengthening profitability. Going to Page 7, for the -- after the 2021 MTBP has been compiled, how has the environment changed? And what has been the impact to the business? First of all, in terms of the initiatives towards climate change, it has advanced. Energy is indispensable for social life. And the optimal solutions is necessary, depending on the region's industrial attributes and the economic factors. 
 So not focusing on one solution, but depending on the region, a practical solution is being [ sought ] after. So by effectively utilizing the existing facilities, the step-by-step initiatives are being discussed. Furthermore, not only renewable energies, but hydrogen and CCUS utilization is going to be utilized. 
 On the right-hand side, there is geopolitical risks such as the situation in Ukraine. And there's a difference in the response against the spread of the COVID vaccine -- excuse me, COVID infection and the countermeasures. So there is a gap of the demand and supply. So there is a destabilization in the energy supply and the supply chain disruption is being advanced. So there is a murky outlook. 
 In terms of the impact towards Mitsubishi Heavy Industries' impact, first of all, there's heightened security awareness in each of the countries. There is a momentum to focus on the national security policies. And from the energy security, there is a renewed interest in nuclear power. So as the leading company for defense and nuclear power, we think that the society is expecting our initiatives in these areas. 
 Number two is the response to the global inflation. So resource energy and material and logistics cost has gone up. And the lack of semiconductor is impacting our business. So we want to strengthen the competitiveness in supply chain and production capacity. In terms of the price pass-on, we would like to focus on that. 
 Please go to Page 8. Based on the environmental change, the fiscal 2023 initiatives are shown on this slide. Basically, in fiscal 2022 and the 2021 MTBP, we have -- we'll steadily implement these initiatives and focus on the change of the market. And responding to that, we will further strengthen our capability. And by doing so, we will solidify our foundation to achieve the targets for fiscal 2023. 
 So fiscal 2021, the actual initiatives is in the middle. Specifically in the integration of the service sites and the system has been strengthened, fiscal '22 will be the year that we'll get results. So the realignment of the organization and the sites and the business transfer, I think we have been able to see the results of this. 
 And the Nagasaki's new plant operation will strengthen our production capability and contribute to our profit. In terms of the service, we will further enhance the system for digital transformation and further enhance this business. The review of our business portfolio is now in the stage that we'll look at the next step. 
 After the change of the environment since we have compiled the MTBP, looking into the contribution to Japan's national security and our initiative towards the nuclear power and the energy transition proposal. Depending on the needs of the region, we'll look into these areas and develop business opportunities. 
 So from Page 9 onwards, we would like to talk about the Mitsubishi Heavy Industries' initiatives towards a sustainable society. Please turn to Page 10. With a safe, secure and comfortable and sustainable society, achieving carbon neutrality is indispensable. That is our understanding. The Mitsubishi Heavy Industries Group through the energy transition will conduct the decarbonization on the supply side of energy. And on the demand side, through the smart social infrastructure, we think that is right going forward in terms of the energy conservation, decarbonization and automation. It is important we do both. 
 Going to Page 11. So this is a recent trend between the supply and demand of energy. In terms of energy transition, the carbon neutral commitment has been advanced in Europe. But it has now spread all over the world to U.S. and China. And depending on the region and industry, specific countermeasures is accelerated in terms of business terms. Specifically, by the heightened energy security needs, not only renewable energy, this S+Es should be achieved. This diverse process is being asked for. The hard-to-abate industries, such as steel, cement and petrochemical industries, this is -- specific business inquiries are coming for CCUS. 
 In terms of the energy demand side, due to the prolonged COVID-19 situation, the e-commerce has grown dramatically to respond to the stay-at-home demand. And the lack of labor at the logistics industry is serious. So the automation of our logistics and manufacturing is accelerated. And the digitalization of society is developing. The data center demand is expanding as well. In each of the areas in the existing system, it would use a lot of energy. So decarbonization and energy conservation solution needs is being heightened. 
 Going to Page 12. This is about the initiative from the energy supply side. In our company, we have been decarbonizing the existing infrastructure and realizing the hydrogen ecosystem and CO2 ecosystem is -- the realization of this being the S+Es target. I would like to focus on the CO2 ecosystem for today's presentation. 
 Please go to Page 13. To achieve carbon neutrality, not only reducing the emissions, but it is indispensable to capture CO2. The global CO2 emission under the 1.5 degree scenario, this is going to be reduced through the expansion of renewable energy, utilizing nuclear power generation, electrification and fuel conversion. However, by utilizing the existing [indiscernible] facilities and to respond to the hard-to-abate areas, a certain level of CO2 capture is necessary.  
 Being very supportive saying that 1/4 of the current emission for CO2 -- CO2 capture should be conducted for about 1/4 of this emission level. On top of the large plants for electricity and chemicals, there is an need for expansion for [indiscernible] to capture equipment for industrial plants. So to be able to implement socially this system, the captured CO2 should be stored and used. And this will advance the system. And we think this area will be active as well. 
 Going to Page 14. This is the CO2 ecosystem that Mitsubishi Heavy Industries want to contribute to realize. So each of the areas of the initiatives are being active. On the capture side, not only from the large-scale emitters, the capture from various equipment and facilities are being discussed. And in storage and usage, the CO2, mainly through venture companies, innovative technology is being developed. And we are investing in those areas. 
 And to build the value chain, the CO2NNEX, which is a digital platform, you'll see it has started. For the 2021 MTBP, the CO2-related business progress will be -- will look at the activity and response to CO2 capture market and the [indiscernible] ecosystem building, I would like to talk more in detail about this. 
 Please go to Page 15. This is the CO2 capture market. North America, Europe, Japan is becoming active. Up to now, our track record has been highly evaluated. As you can see in the graph on the lower left-hand side, for fiscal 2021, about 27 million tonnes per year equivalent feasibility studies have been -- received orders. So this is equivalent to 18 times of the capture of the biggest project in the world. So on the lower right-hand side, this is a business negotiations in Europe. You can see that this is a very diverse business activity. Going forward, we will utilize our track record and unique technology and cross-domain initiatives and would like to focus on [indiscernible] as well. 
 Please go to Page 16. This is about CO2 capture diversification. As mentioned before, we focus on large-scale systems in the past. However, we are going to have more diversified needs. So we'd like to develop more standardized and modularized systems. And as on the left -- on the right, we are planning for validations with each partner, and they are going to complete within fiscal year '23. And after the completion, we'd like to start business discussions one-by-one. And also for autonomous driving and remote monitoring, we would like to develop new projects. 
 Page 17, please. Digital value chain should be established. And we have initiatives for that. To promote CO2 capture, we need storage and utilization together with capture. Especially for utilization, we have opened innovation to explore a lot of technologies and commercialization. One example is on the right, development of carbon recycled fuel and also CO2 utilization for biotechnology. We have partnerships for that. And also, we have an example of digital platform. CO2NNEX will connect emission side and transport, storage and utilization. And we have expectations for CO2NNEX for new businesses, except for -- and for transport, we restarted concept studies. 
 Page 18, please. This is about nuclear power generation. Nuclear power in terms of decarbonization and energy security, there is a renewed interest in nuclear power in Japan as well. In the end of last year, in the Strategic Energy Plan, there was a mention of aims to increase the percentage of nuclear power generation from 20% to 22% in 2030. And we would likely, based on our experience, to support recommissioning of the plant and the fuel cycle establishment. 
 And also right now, we are working on design of next-generation light water reactor with safety in mind for 2030, and high temperature gas-cooled reactor and also fast reactor, a project with TerraPower in the U.S. actually and also for hydrogen production. As a leading company, we would like to contribute to all of them. And Page 19 shows initiatives for future nuclear power generation. 
 Page 20 for energy consumption part. And intelligent logistics systems and also energy savings data center and smart energy, very important. Intelligent logistics systems and energy savings data center and automated mobility, we are working on the infrastructure. So today, I'd like to especially talk about logistics system and data center. 
 Please refer to Page 21. In terms of logistics systems, the need is arising for decarbonization and automation. Highly functional AGF and also natural refrigerant chillers are put on the market already. For the next step, we have intelligent logistics system with the connection of multiple systems and automated systems. Towards the future, we would like to focus on the combination with power supply equipment and chillers. And we use integrated solutions, a system called Sigma Synx, to connect all of them. And by connecting all of them, we implement throughput and also we can save more energy. 
 Please refer to Page 22. Especially right now, we are working on a POC. In terms of intelligent automated warehouse logistics, beverage warehouses and cold storages are in the projects. And we are using AGF, AGV and palletizers to be connected using automatic picking system that we are developing. 
 And within this fiscal year, using Yokohama Hardtech Hub, we are going to verify these technologies and will use Sigma Synx to connect optimized controlled equipment so that we can increase throughput. This can solve problems about the lack of logistics operators. So now we can provide flexible logistics solution, so we can provide such systems to multi-tenant warehouses. Those are the mainstream right now. 
 Please refer to the next page, Page 23. This is another initiative of data center. With digitization, data center business is expanding. However, we have some challenges such as power consumption and decarbonization. And 30% of power consumption is done by air conditioning system. So now we are focusing on this air conditioning system. We have advanced cooling technology and HVAC system technology that we have developed in our company. 
 And using them, we would like to provide highly efficient HVAC systems for hyper data centers. And also we have next-generation cooling system for micro data centers. Right now, we are working on the POC. By combining those technologies, we can reduce the space and also we can reduce the energy consumption. And going forward, we can utilize the hydrogen power generation system. And we can provide our technologies for decarbonized data centers. 
 Please refer to Page 24. This is container-type micro data center demonstration, example. In Yokohama Hardtech Hub, we are doing this verification. FY '21, 43% energy conservation was achieved. From this fiscal year, together with KDDI Oyama Technical Center, we have an operation and demonstration so that we can commercialize this technology in FY '24. 
 Please refer to Page 25. This is the digital transformation initiative. Digital transformation we are aiming at is, as on the left side, we connect and also intelligently transform and optimize all the equipment and we build value chains by connecting all of them. And the foundation is on the right side. Based on our R&D and the validations, we have a model and simulation technology. And also, we have operational experiences. And we can collect data and operation and maintenance for data analysis. 
 And also we have been using AI technology for our products and systems. And we maximize the potential by optimizing all of them. And also in defense technology, we have the security technology as well. Combining all of them, we are aiming to provide safe and secure solutions. So to share technologies and also to roll out such technological advancements, we are going to launch a new organization in July so that we can promote such activities strongly. 
 Page 26 is the summary. Please refer to Page 27. In FY 2021 because of COVID-19 impact, we suffered. However, with the countermeasures, we achieved good results. Going forward, we would like to be more adaptive and proactive so that we can increase productivity and profitability. Once again, sustainable society should be achieved. And carbon neutrality is an essential step towards that. 
 As was in the past, we would like to contribute by a variety of products and solutions. And also, we would like to provide solutions in both energy supply and use areas. And also we'd like to strike a good balance in terms of carbon neutrality with energy security, economic efficiency and safety to contribute to a sustainable society. Thank you very much. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]